Operator: Good evening and welcome to the Noah Holdings 1Q ‘21 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. Please note, this event is being recorded. I would now like to turn the conference over to Ms. Jingbo Wang. Please go ahead.
Jingbo Wang: [Foreign Language] For the teleconference agenda today, I will first introduce the overall performance of NOAH in the first quarter of 2021. The development of our major business segments and the strategy of the Group. Then talk about the changes and progress of NOAH’s management thinking from product-driven to client-oriented. We will then brief you on Noah’s planning to purchase a headquarter premises located in the courtroom of Hongqiao CBD in Shanghai. After that, please welcome Pan Qing to introduce the financial results of the quarter, followed by the Q&A. Looking back to 2020, it’s a year full of challenges and uncertainty. However, on top of Noah, faced with such uncertainty continue to transition and reform and made some achievements. I’m very pleased that we lived up to the expectations of our shareholders and investors, and Noah delivered a very successful quarter. [Foreign Language] In the first quarter of 2021, Noah reported net revenues of RMB 1.22 billion, with a year-on-year growth of 64.1%, in which, one-time commissions were RMB 323.2 million, a 53.3% year-on-year growth. Recurring service fees were RMB 474.9 million, a year-on-year growth a 5.6%. Performance based income was RMB 403.1 million, which grew nearly 20 times year-on-year. Non-GAAP net income attributable to shareholders amounted to a historical high of RMB 461.9 million, representing a year-on-year growth of 79.7%. In terms of our main business segments, the transaction value of financial products in the wealth management segment reached RMB 27.1 billion, with a year-on-year growth of 16.8%. The transaction value of standardized products was RMB 21.5 billion, with a year-on-year growth of 12.5%, among which, secondary market equity funds grew 23.4% year-on-year to RMB 11.2 billion, setting a new record for single quarter. Mutual funds grew 8.6% year-on-year to RMB 10 billion. The net revenues of overseas business reached the RMB 337.5 million with a year-on-year growth of 62.5%. The overseas assets under management was RMB 25.92 billion as of March 31st, 2021, a 3.9% increase compared with the end of 2020 accounting for 16.8% of the Group’s total AUM. In March, we successfully held an insurance summit in Macau and invited targeted clients based on big data. The number of attendees was 77% of the 2019 insurance summit in Macau. However, the total transaction value more than doubled, reflecting the accurate matching results of our KYC, KYP and KYA systems, which we put great efforts into. Aside from the financial data, the management is more encouraged by the gradual infiltration of our new management culture. The management idea from product-driven to client-centric survival first is reflected on the client talent and business side. With the further deepening of our transformation and reform, Noah is on a continuous journey of building organizational capacity, which is the right way from the venturing to the EMU, electric multiple unit. First, our core clients’ activity continued to rebound in the first quarter of 2021. Noah’s high net worth clients, the number of active clients including mutual funds-only clients exceeded 27,000, an increase of 65.4% year-on-year. As of March 31st, the number of registered clients exceeded 380,000 – sorry 380,000, yeah, up 6.5% from the end of 2020. The number of black card clients were 992, an increase of 12.7% year-on-year. Client-oriented and pursuing in-depth understanding of client needs is the core guiding ideology for our reform on the front line. The implementation of the new relationship managers compensation schemes from a single relationship manager to the establishment of the Noah triangle service model, our strength in the process management with a Supernova Quantitative Client and Communications Plan, as well as the comprehensive promotion of KYC, KYP and KYA received the approval of clients and relationship managers. Secondly, our core frontline talents after experiencing the survival of the fittest, and replenishment of fresh blood has stabilized and recovered. That the pilot of the new relationship managers compensation scheme, the production capacity of the team began to release. After seven quarters of transformation, the number of elite relationship managers was 598 in the first quarter of 2021, 241, more than that at the end of 2020. And the turnover rate of elite relationship managers was only 0.28%. Noah will continue to improve our incentive system vigorously promote employee training and team building, continuously empower relationship managers, screen qualified investors and provide better services for high net worth and ultra-high net worth clients. [Foreign Language] As of March 31st, 2021 the AUM of Gopher reached the RMB 154.1 billion, among which, the continued redemption of non-standardized to single counterparty private credit products from zero launch to zero inventory and the scale of non-performing assets were dropped to the other funds under active management realize the different degrees of growth, among which, the AUM of public securities reached RMB 10.5 billion, up 14.5% year-on-year, the AUM of private equity was RMB 121.9 billion, up 10.4% year-on-year. In February 2021, Gopher was selected as one of the top 20 secondary funds in the world by Global FOF Association. Gopher China Equity Selection Fund ranked the number one FOF in the world. In terms of compound annual return to three years ending December, 2020. Our pathway hedges posted with AUM on the USD250 million. Among the asset management product provided by Gopher for our clients, Gopher continues to promote the reform and product upgrade from product-driven to client-oriented is the core concept of the reform. The most important product of Gopher in 2021 is the target strategy product which implements a target-oriented strategy. We invested more time and effort into product research and development, investment management and talent entity as well as introduced the IPD, Integrated Product Development process to fully elevated Gopher’s capacity in investment management and operations like Noah. Gopher’s new journey and strategy experienced a constant change from product-driven to client-oriented. At the end of March 2021, Gopher’s Megatrend MOM and top 30 secondary market in mortgage strategy investment products have track records of seven and four years were upgraded to Gopher growth target strategy and balanced target strategy, respectively. Now back on the market again. The growth target strategy products realized an annualized return of 15.24% since launch, ranking top 10% in terms of return among comparable products. The balance to target strategy products reported an annualized return of 12.76% since launch, ranking top 2% by return among comparable products. Once launch goes with flagship strategy products have been winning the recognition of high net worth in clients. [Foreign Language] In terms of operational efficiency due to the expansion of [technical difficulty] and marketing activities, the operating income of the first quarter reached RMB 722.3 million, up 47.5% year-on-year. Noah’s continuous online digital and intelligent transformation and efforts have contributed to the continuous and stable improvement of operating efficiency. The non-GAAP net income increased from – sorry, the non-GAAP net profit margin increased from 34.2% in 2020 to 37.7% in the quarter. The operating profit margin increased from 38.1% in 2020 to 41% in the quarter. This year, Noah will start to expand the capacity of the Noah triangle relationship managers team and deepen operations in the core cities. We have set new targets for our market shares in core cities and the increase in coverage of high net worth and ultra-high net worth clients. In 2020 Noah fully initiated its organization reform with a core direction from individual leadership to organizational capacity. First, we upgraded from divisional structure to matrix management, implemented qualification system and person post matching and started to define and arrange in internal personnel levels by positions, salaries by levels, as well as link the change of salaries with position changes. The implementation of the new qualification system optimize our compensation structure, making us more competitive when recruiting senior talents in the market. Meanwhile, we determined the company’s annual budget of strategy, product, project in the aspects of strategy and key tasks and became more flexible to focus on our targets in key projects, cities and positions. 2021 is the initial year of Noah’s transformation. We aim to build an organization of processes from the aspects of culture, process, organization and IT. Strengthened strategic quality control and process management to make client service and product and operations standardized and of high quality. To integrate marketing planning into brand management. To carryout comprehensive strategy-based budget management and to promote the internal control management system to help operations prevent corruption and control risks, as well as to use the qualification system to lead the growth of management team members on human resources front. Noah is actively practicing IPD, Integrated Product Development project management now has established the different IPD projects on product channel and international operations. For example, the KYC, KYP and KYA digitalization project we mentioned is to realize in depth collaboration among the street through project operations, standardization, and the appointment of project teams and its responsible persons. Finally, everything falls into the core management idea of client-centric and survival first. [Foreign Language] Last but not least, I’d like to brief you, Noah has been running businesses in Shanghai for 16 years and being listed for nearly 11 years without our own headquarter building. In this quarter, we have finally found a satisfying headquarter premises in the courtroom of the Hongqiao Comprehensive Transportation Hub to meet the increasing office usage demand of Noah. More importantly, as a trending Chinese private banking brand, in line with a surge of favoring Chinese brands in consumption market over the past few years, we primarily serve China’s high net worth and ultra-high net worth clients. The new premises demonstrate an upgrade of our core culture and philosophy. On the journey from a product-driven startup to a century old enterprise of serving three generations of clients. In the location of the Hongqiao help enables us to connect with our clients from around China, especially from Jiangsu, Zhejiang provinces and Shanghai in a swifter and more convenient way. Prospective clients-centric theory providing us with a client interface with both quality and convenience. The premises is designed by Foster and Partners. The firm also designed renowned buildings such as Apple’s headquarters, the Apple Park, the Swiss Re building in London, the HSBC headquarters in Hong Kong and the Beijing Capital International Airport. One of the buildings in this project is the only office building with an outer core cylinder in Shanghai, with LED letters arranged throughout. After several rounds of adjustments and improvements by Foster and Partners, under the basic cylindrical structure, the cylinder body is hollowed out in the middle, and the lighting and space utilization rates of the building are all to the maximum. The project has a total construction area of 72,000 square meters and the leasable area is 63,000 square meters. It is located in the core business room of Hongqiao, Shanghai, adjacent to Hongqiao airport and railway station with convenient transportation. Client-centric includes creating the best experience for clients, authorizing the frontline managers who are the closest to clients to make decisions, providing various services, meeting clients’ needs with various products, promoting digital transformation and gradually realizing intellectualization through online business. Data and analysis are the basis for us to improve service efficiency and more accurately understand client needs, the rest of it, our service ecosystem around their needs. We may say that the purchase of Noah’s headquarters is a milestone of Noah’s second venture, and upgrading the company’s new management concept of client-centric and survival-first. We look forward to welcoming all shareholders and investors to visit the new Noah’s headquarters. Next, let’s invite our CFO, Mr. Pan Qing to introduce the costly data in detail. Thank you.
Grant Pan: Thank you, Sonia. Thank you, Chairlady and key investors and analysts, good morning. Very excited to share with you another record setting quarter, in which, we have accomplished new heights across various financial and operational metrics, including revenues, profits, client activities, transaction value and elite RM retention rate. As our client investment passion and confidence and economic outlook continues recovering, and overall team morale continues growing, benefiting from the implementation of various new organizational improvements, and the upgraded client service model as part of overall strategic transformation so far. I’m also happy to share with you that we were ahead of the schedule to meet the full year non-GAAP net income guidance of RMB 1.2 billion to RMB 1.3 billion as we concluded this quarter with a record high non-GAAP net income of RMB 461.9 million, mainly due to also record high performance based income of RMB 403.1 million accompanied with growth across other revenue segments. Now please let me walk you through more detailed results of the first quarter. We recorded net revenues of RMB 1.2 billion, which was unprecedented for a single quarter since listing. This was mainly contributed by performance based income of RMB 403.1 million also record high, a result of the strong performances of the public securities products we have placed for our clients in the past, accounting for over 60% of the total performance based income during the quarter. Just to give you a rough idea, what this means for our clients. For every million of performance based income we earn, based on our average sharing with the GPs, our clients would have made RMB 20 million of investment return above the hurdle rate of return after accounting for the performance based fee charged by the GPs. One-time commissions in the first quarter was RMB 323.2 million, up 53.2% year-over-year and 19% quarter-over-quarter, driven by strong transaction value during the quarter, while maintaining a very healthy fee rate of 1.2% on the products we placed for our clients. This demonstrate our successful efforts in the optimization of product mix. Recurring service fee was RMB 474.9 million, up 5.6% year-over-year and 8.9% quarter-over-quarter as we harvest on the recovery of transaction value we placed for our clients. As Chairlady has mentioned, one of our strategic objectives for 2020 was to achieve core client growth, especially in the tear of diamond and black card clients. Were happy to see that the number of black card clients has grown 12.7% year-over-year to 992. We have also recorded unparalleled client activities as close to 28,000 active clients, up 65.4% year-over-year, and 42.8% quarter-over-quarter. The number of active conventional clients was 6,300, also up 54.6% year-over-year and close to 20% quarter-over-quarter. The robust client activity is a clear indication of the successful implementation of several of our key strategic initiatives, including the Noah triangle service model, which helps our IMs utilize their full client engagement potentials with the help of product experts. During the first quarter a record setting close to 600 of our IMs who are qualified as elite IMs, up 68% from the previous quarter, and have managed to keep our most valuable salesforce intact, with a record low elite IM turnover rate of only 0.28%. As a result, total transaction value was RMB 27.1 billion during the quarter, up 16.8% year-over-year and 27.1% quarter-over-quarter. We placed an unmatched level of RMB 21.5 billion of public market products for our clients, consisting of RMB 11.2 billion, our private hedge funds, which doubled from previous quarter and RMB 10 billion of mutual fund products also increased 21.8% quarter-over-quarter. So for private equity products, the total transaction value was RMB 4.8 billion, a 62.5% increase year-over-year, and 7.9% decrease quarter-over-quarter. Our operating income was RMB 502.4 million during the quarter, up 96% year-over-year, and almost 50% quarter-over-quarter. The operating margin was 41%, an improvement from 35.2% from the previous quarter. Comp related expenses were RMB 582.1 million, up close to 60% year-over-year and 30% quarter-over-quarter, a reflection of our increasing efforts in recruiting new talents. Non-GAAP net income was RMB 461.9 million, also a historical high just for the purpose of getting a sense at a normalized number by adjusting the carry to the same level as last quarter, we would still have recorded a 41% year-over-year growth and 38% quarter-over-quarter growth for non-GAAP net income. As for our segmented results, net revenues from Wealth Management segment was RMB 946.5 million, up 71.3% year-over-year and 47% quarter-over-quarter, accounting for 77% of total net revenues for the quarter. The store results in our wealth business segment was driven by robust client transaction activities, while maintaining a high overall fee rate. Net revenues from Asset Management segment is RMB 270 million, up 63% year-over-year and down 11.8% quarter-over-quarter. Total AUM has grown 0.8% since the end of last year to RMB 154.1 billion, mostly driven by growth in private equity and public security products with effect of exiting of credit products. So moving on to balance sheet. We remain in healthy liquidity position as our current ratio stood at 3.2 times. The debt to asset ratio was 24.8% and continue to have no interest-bearing debt on our book. By the end of first quarter, we had close to RMB 5 billion in cash. We’re on track to deploy the budgeted spending with relation to R&D investments and other growth initiatives. As is mentioned by Chairlady Wang, we have entered into definitive agreements to acquire a Class A office property, located in the Shanghai Hongqiao Central Business District, with a gross floor area of 72,000 square meters and gross leasable area of 63,000 square meters. The total consideration is approximately RMB 2.2 billion, which is equivalent to RMB 35,000 per square meter based on the GLA and that is a good deal when compared to the average of RMB 40,000 to RMB 50,000 trading price of adjacent comparable properties in that area in the past few years. We plan to finance the transaction with cash on balance sheet, but we’ll also look for opportunities to refinance when the cost of financing and timing is right. This is the first time in Noah history to have our own headquarter that will be able to support the growth of business and the need for additional office space in the next five to six years in Shanghai. And because of its close proximity to one of the nation’s busiest transportation hub, the facility is also an ideal premise to house various client of conferences for the Yangtze River Delta region, including Shanghai, Zhejiang and Jiangsu provinces, which is our most important geographic segment and the total contributes to more than half of our business. The deal is expected to close within the next couple of months upon the satisfaction of further closing conditions and government approval. Moreover, I would like to note that we have published our seventh ESG report for the year 2020, aligning our long-term commitments to ESG and responsible investments, and it’s available on the ESG section of our website. Overall, we’re very pleased with our first quarter results and the strong growth in client activities, as well as in the key salesforce. We also hosted our Annual Macau Conference in March and received very nice attendance, that showing that our clients are still very eager to learn about overseas asset allocation, as well as insurance products. I’m confident with our business development outlook as we continue to improve our client service experience and optimize our product offerings. So thank you, everyone and I will now open the floor for questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Emma Liu with Bank of America. Please go ahead.
Emma Liu: [Foreign Language] Congratulations on the effort. Very good first quarter results. But my question is, why don’t you revise at your non-GAAP net income guidance for the four years? Because according to the current guidance, it seems that the implied for the next three quarters the non-GAAP net income were declined close to 13% year-over-year. So what factors hold you back from revising to the non-GAAP net income guidance? Thank you.
Grant Pan: Okay, thank you, Emma. That’s a very fair question. First off, obviously very happy to see the results in the first quarter. But at the same time, we’re also conscious about the volatility, especially in the Asia market in China, for the outlook of the rest of the year. So for that, you know, as much more confidence with our top line, were still pretty, I guess will be pretty reasonably conservative in terms for the expectation of the super overperformance for the rest of the year for the market, which you know, in turn, obviously, will impact on the transaction values or clients investment passion. And, two, as we have mentioned, we continue to invest in our strategic initiatives, especially in this year, it’s a very critical year to open up for transformation. And some of the investments actually are in talents and some of them are in you know, technology. So the full year impact has not shown in the first quarter and we expect that the investment continue to ramp up for the rest of the year. So from that standpoint, we’re pretty confident applying growth but at the same time we want to also make sure that we have enough room for the investment in our strategic initiatives. [Foreign Language] So Chairlady has also supplemented you know, in the last few quarters when we’re going through our transformation strategy, especially the upgrade our management and also organization capabilities. We’re trying to, I guess transform from a you know, so called startup company into a really midlevel – midsized level type of you know modern corporation and organization, which actually requires heavier investments on the management and organizational resources.
Emma Liu: [Foreign Language] So, thank you so much for answering my previous question. And I have a follow – actually two follow-up questions. Could you please introduce the latest progress in the second quarter, including major business metrics and certainly many domestic Chinese banks are paying more attention to the wealth management sector, because this is a very promising sector. So do you have sales increasing competition from Chinese banks and how will you respond to them? Thank you.
Jingbo Wang: [Foreign Language] So yeah, to address your second question first, Emma, that, as you know, we’re always in a very highly competitive market and because seems that the transformation or the shift really in the regulatory and policy environment seems we’re facing more and more security brokerage firms as well as banks in this particular market space. But from a standpoint, Noah has already moved on to stage 2.0 in terms of wealth management industry that it seemed that the banks are you know, just starting their stage in terms of you know, designing the right products and product-driven type strategy in wealth management, while Noah has moved on to really trying our best to match our clients’ need with the right products and services as well as you know, the agent and sales network that serve them. So we’re really moving on to the right direction and moving into the right stage obviously initial part will be tough and difficult. But we’re very confident that we’re actually walking on the right track. Yeah, so to add a little more color onto that, especially you elaborate what we mean about, you know, our bottom line is for commercial survive or commercial success is that we always try to ensure that we have a higher standard in terms of compliance than what the regulators have put on – put out for the industry. For example, we’re being very selective in terms of our acceptance, with screening, the clients’ profiles and we actually will take on some clients and at the same time, we’ll give up on some clients. Just want to make sure that we are always, you know, try our best to place the right products for the right clients at the right place. But it seems that our competitors aren’t, you know, as the new arising competitors that you mentioned, Emma, is still trying to copy probably our older sort of compensation scheme for example, in their salesforce, when we have actually moved on several generations, several upgrades on the compensation schemes for the Salesforce. So we believe that, you know, we’re ahead of the curve. But I want to make sure also, we understand, you know, initial status – initial part will be tough already for the challenge. And to your first question in terms of the operational situation for the second quarter, you know, obviously, I can’t tell you too much about the numbers but we’ll continue to market Gopher’s target return products, which is met with pretty good acceptance by the clients, I’m pretty confident that the numbers will show up in the first quarter – in the second quarter. And also, you know, we continue to host actually a little smaller conferences in Macau for the oversea insurance products, and I’m pretty happy to see the results, especially the positive results on the top line and the profit.
Operator: Thank you. [Operator Instructions] This concludes our question-and-answer session. I would like to turn the conference back to Mr. Pan for closing remarks.
Grant Pan: [Foreign Language]
A - Jingbo Wang: [Foreign Language]
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.